Operator: Good afternoon, and welcome to the MGM Resorts International Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Ayesha Molino, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer; Gary Fritz, Chief Commercial Officer and President of MGM Digital; Kenneth Feng, Chief Executive Officer of MGM China Holdings; and Howard Wang, Vice President, Investor Relations. [Operator Instructions] Please note, this conference is being recorded. Now I would like to turn the call over to Howard Wang. Please go ahead.
Howard Wang: Thanks, Marco. Welcome to the MGM Resorts International Fourth Quarter and Full Year 2025 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we have also furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
William Hornbuckle: Thank you, Howard. To everyone dialing in, we truly appreciate your flexibility in joining us this earlier-than-expected call and look forward to providing you with some important color in detail about our fourth quarter and full year performance. Before I get started, I'd like to introduce everyone on today's earnings call to Ayesha Molino, our new Chief Operating Officer. Ayesha was previously our Chief Public Affairs Officer and President and Chief Operating Officer of ARIA and Vdara, which flourished under her leadership, and we are thrilled to have her in the COO role. I also want to congratulate Kenny Feng, who has been leading the MGM China as President and Executive Director since 2020 and is no stranger to these earnings calls on his recent promotion to Chief Executive Officer of MGM China. And finally, I'd like to congratulate Tian Han on his promotion to Chief Operating Officer. Tian has also been integral to the success of MGM China in recent years, and I'm extremely excited to see the great things the entire Macau team does going forward. MGM Resorts is the leading global integrated resort operator across physical and digital channels, converging gaming and hospitality with entertainment and sports, and this diversity helped us once again to achieve consolidated growth for the fourth quarter and the full year 2025. It's worth noting some of our key accomplishments last year: achieving record 4Q and full year EBITDAR in Macau while maintaining margins and outsized market share throughout the year, accomplishing a nearly $470 million EBITDA turnaround at our BetMGM North America venture, which commenced distribution to its parents in 4Q; breaking ground in MGM Osaka, which we believe will be the world's largest integrated resort upon opening; and investing in upgrading experiences across our portfolio from dining to enhanced VIP gaming environments in Las Vegas to our regional operations and most notably in Macau. These, along with other successes throughout the year drove growth in consolidated net revenues of 6% and positioned us well for further progress into 2026. Last year marked the return to a more balanced environment after several years of exceptional growth in Las Vegas. And even with the Las Vegas-specific headwinds, we were able to achieve record full year slot win in 2025 driven by our luxury offerings. From this reset baseline, we see a path to grow in Las Vegas for the full year of 2026. First off, we will benefit from a full year contribution from the various capital projects completed last year, including and notably MGM Grand's room renovation. We had anywhere from 700 to 1,000 rooms offline per day for most of last year, but that will not be in the case in 2026. We've received tremendous positive feedback on the refreshed product and are excited to have the full complement of rooms available this year. Other projects completed mid- to late '25 included the high-limit slot rooms at Bellagio and additions to our already deep roster of elite dining experiences with CARBONE RIVIERA here at Bellagio and Gymkhana at ARIA. Within the group and convention channel, we are experiencing mid-single-digit revenue growth in 2026. This year's mix will be closer to 20%, and the quality of the groups, I feel, has improved because of meticulous action carried out last year focused on improving profitability. To date, we've had solid performances during city-wide events, including CES in January, and we're excited for the return of CON/AGG with expectations of getting back to 2023 attendance and achieving more than our fair share among the 140,000 attendees arriving into Las Vegas. Even more exciting is the fact that we have group and convention room nights on the books for future years that we've had more -- group and convention nights on the books for future years than we've ever had in our history. While 2026 event calendar continue to fill out, we are seeing comparable arena capacity city-wide events relative to last year, which will help provide stabilization levels of business given the proximity of our properties to the golden triangle of venues, Allegiant, T-Mobile and MGM Grand Garden Arena. Tent-poling events such as Formula 1 also continue to drive visitation this year, and our Strip properties saw higher room rates and increased cash ticket sales at the Bellagio Fountain Club, which remain the premier ultra-luxury hospitality venue to watch the race. We are continuing to invest where we see the greatest growth potential in our luxury offerings. This includes casino operations. We are out to improve on the success of last year's first one-of-a-kind invitation-only gaming experiences, bringing previously unheard of prize purses into a $5 million slot tournament and a $10 million baccarat tournament. We will be hosting both of those tournaments again this year. We're also busy continuing to innovate especially around the opportunities provided by the geographic proximity of major sports events including this weekend's Super Bowl in Northern California and the international visitation accompanying the upcoming World Cup given several matches taking place in Los Angeles and Southern California. We know these programs are working as our 2 top luxury offerings, Bellagio and ARIA, together saw a 7% increase in EBITDAR in 2025. We also continue to build on efficiencies driven by our technology innovation, which drove an 18% increase in digital check-ins that have resulted in a significant improvement to check-in speed, which now averages 1.5 minutes versus the 6.5 minutes while checking in through traditional front desk, not including your wait time in line. We also saw 1 million chats through our digital concierge last year as we utilized AI to both transform guest engagement and accelerate productivity. And finally, we are busy at work creating programming that will target and highlight the great value MGM has to offer. We'll share more of that and have exciting news and announcements soon. At the end of the day, there's nothing comparable to Las Vegas. People are visiting to have unforgettable experiences and their exceptional value is the optionality of what our guests can enjoy and discover on any particular visit. There's also value in the unmatched energy and excitement that surrounds everything you do in this town. That's why Las Vegas was selected to host the College Football Playoff National Championships in 2027 and the Final Four in 2028. Las Vegas is where the NBA's exploring expansion and Major League Baseball is now establishing operations. We've also extended our relationship with F1 for 5 years. And there has always been and always will be extraordinary value here in Las Vegas. Our regional operations continue to deliver solid results regardless of the macroeconomic, thanks to their outstanding asset quality, their strong demographic placement and experienced operating teams. During the quarter, they reported not only record fourth quarter slot win but also the best full year slot win ever. MGM China remains a strong outperformer, ending the year with a record high quarterly and full year segment adjustment in EBITDAR. We achieved a 16.5% market share during the fourth quarter and impressively maintained share of over 16% for the full year, a record market share level for an annual period as our operating team continues to command a strong understanding and relationship with the premium mass customer driving the market. Considering our execution, reflecting in our ability to maintain an over-indexed market share and solid EBITDA margins, MGM China's trading value is at sub 7x forward EBITDA multiple versus an industry average of over 8.5x, seems significantly discounted to us. Yesterday, we heard impressive results from Adam and Gary on our BetMGM North America venture. BetMGM beat 2025 guidance during the year where they started by inflecting positive and ending by turning annual EBITDA around by nearly $470 million. The strong performance resulted in a $135 million distribution of MGM during the fourth quarter. And during 2025, monthly player volumes increased 24%, while active player days increased 14. This momentum remains positive, highlighted by the plan outlined on the earnings call to reach $500 million of adjusted EBITDA in 2027. MGM Digital also continues to see encouraging momentum. We are excited by the scaling of the BetMGM brands in key international markets, where Sweden continues to be our top market. We exited 2025, making significant headway in Brazil, particularly after the December launch of our in-house sportsbook. The Brazilian market is new, robust and evolving, and we are confident that our product and our JV with Globo and the value Globo marketing assets have created funding opportunities that are worthy of sustained investment in the coming year. Progress also continues with our development projects, setting long-term growth pipeline for our business. Construction remains on schedule in Dubai with Bellagio, ARIA and MGM Grand Hotel towers scheduled to open in 3Q of '28. And in Japan, construction remains on time and on budget for MGM Osaka. Currently, about 20% of the foundation piles have been installed or completed, and the project remains on track to open in 2030. The outlook for the coming year is encouraging. With a more constructive backdrop and a stabilizing environment, our message last quarter holds true. We are optimistic that growth in Las Vegas can be achieved this year. There are also potential macro catalysts that could benefit both Las Vegas and MGM more broadly, including lower trending interest rates, certain tax regulations including no tax on overtime and tips and other stimulus benefiting consumers and further progress at the Las Vegas Airport as about 50% of the lost capacity left by value airlines and select international carriers have been backfilled by other airlines. Beyond the macro drivers, MGM is driving convention and group nights with more future room nights on the books than we've ever had. We also continue identifying opportunities to operate more efficiently and make further progress on our AI and technology initiatives, all while our improved liquidity and cash flow generation allows us to pursue innovative ideas and strategic investments that can and will deliver meaningful value. With that, I'll now turn this back to Jonathan to provide additional details on our performance for the quarter.
Jonathan Halkyard: Thanks very much, Bill, and thanks to all of our employees who stepped up throughout a challenging year, strengthening the foundation we have today and allowing us to take advantage of the growth opportunities in 2026. Consistent with our third quarter commentary surrounding Las Vegas, we saw stabilization in the fourth quarter. Las Vegas EBITDAR declined 4% year-over-year, an improvement versus the declines experienced earlier this year, driven by the completion of the MGM Grand room remodel in October, a year-over-year improvement in convention mix and holds settling in above our normal range. Luxor and Excalibur continued to have a disproportionate impact to this quarter's decline in Las Vegas, though keep in mind, these 2 properties only represent about 6% of Las Vegas segment adjusted EBITDAR in 2025. While we do not see immediate changes to value customer habits, we are seeing strength in the south end of the strip when we have robust programming at Allegiant and as Bill referenced, we're working towards some creative concepts on marketing our value proposition to these customers. Additionally, the comparisons just become more favorable toward the end of the first half of 2026. The return of the MGM Grand room inventory has been a benefit. And it's worth noting upon completion, the average age of our Las Vegas rooms since renovation is about 6 years. We have a strong maintenance capital program to reinvest in our properties regularly, and I would argue that we have the best maintained portfolio of assets on the strip, which is recognized in the positive feedback from customers and of course, the outsized room occupancy share that we command in the market. Our regional operations had another strong quarter to close out a record-breaking year. Not only did they achieve best-ever fourth quarter slot win, but they accomplished the best-ever annual slot win performance for 2025, resulting in a 2% rise in net revenues in the fourth quarter and stable EBITDAR. I'd also highlight that the sale of the Northfield Park operations remain on track for the first half 2026 close. MGM China just crushed it this quarter. During the fourth quarter, net revenues grew 21% and segment adjusted EBITDAR grew by 31%, a new fourth quarter record. A relentless competitive environment is the norm there, but our team has consistently maintained mid-, high-20s margins with their focus on maintaining high service levels while anticipating evolving customer tastes and preferences. MGM China recently announced new terms for its branding fee, which will increase this year from 1.75% to 3.5% and secures the MGM branding through the life of the concession and auto renews for up to 20 years upon a concession renewal. The rate is comparable to the only other U.S.-based Macau operator and is sensible, given the strength of MGM's brand, its market size and global reach. The brand has proven its value over time, helping drive MGM China's market share and EBITDAR, both of which have almost doubled since 2019. The renewal terms also result in greater cash flow generated for MGM Resorts, which, if we use 2025 results, would represent over $50 million in incremental cash flow to our company. We remain highly confident in the long-term growth prospects in Macau and remained aligned with the MGM China shareholders and our desire to increase profitability and ultimately, the enterprise value of MGM China. Our BetMGM North America venture had a tremendous year with growth in fourth quarter net revenue from operations up 39% and EBITDA improving by $176 million to $71 million in the quarter. As reported on their recent earnings call, MGM -- BetMGM provided 2026 adjusted EBITDA guidance of $300 million to $350 million and $50 million of expected CapEx, along with the expectation of regularly distributing excess cash to its parents. MGM Digital saw impressive 35% growth in net revenues due to continued momentum across the various international geographies, including our legacy LeoVegas markets and Brazil. We plan to continue investing in growth initiatives throughout 2026, including integration of our sportsbook platform that we expect to launch in several of our key markets, including Sweden, as well as continued investment in Brazil. We anticipate another year of solid top line growth and an improvement in 2026 EBITDAR that we expect to be approximately half the losses that we had in 2025. In Japan, we're expecting our 2026 funding commitment to be approximately USD 350 million to USD 400 million. Much of it will be addressed with proceeds from the yen-denominated credit facility we closed last October, which we upsized to approximately $350 million during the quarter at a low single-digit cost of capital. We bought back over 15 million shares during the fourth quarter for $516 million, bringing our total 2025 share repurchase activity to 37.5 million shares for $1.2 billion, and that represents an average price of $32.43. And over the last 5 years, we've decreased our share count by almost 50%. Finally, I want to remind everyone of our various sources of cash flow spanning the business, including cash generated from our Las Vegas and regional operations our MGM China branding fees and distributions, and now our BetMGM distributions. The cash sources from MGM China and BetMGM, in particular, are high-margin, recurring sources of income and should be assessed accordingly when valuing our company. We've augmented these recurring sources of cash with other actions, including raising a low cost of borrow yen-denominated facility to fund most of our Japan commitments this year; selling our Northfield Park operations, which will close in May; and reallocating capital previously earmarked for our pursuit of a table games license in New York. In aggregate, these growing sources of cash flow enable us to fund growth opportunities, including the entirety of our MGM Osaka commitment and any future CapEx projects we choose to pursue. It also covers share buybacks, maintenance CapEx, interest expense and rent expense. And keep in mind, not all leases are created equally. None of our triple net real estate leases allow for rent to escalate above 2% in the first 10 years, and the most aggressive lease terms cap our rent escalators at 3% for the next 10 years after that. As a result of our aggregate cash flow sources, we can convert our diverse operating strength in a meaningful, durable free cash flow to drive shareholder value. I'll turn it back to Bill.
William Hornbuckle: Thanks, Jonathan. A couple of thoughts before we go to questions. We exited 2025 with Las Vegas showing signs of stabilization and an improving trajectory. We continue to see those positive trends as we begin 2026 and expect to make even greater progress from a reset baseline in Las Vegas when we lap earlier leisure comparisons in the second half of the year. Our diversity supported consolidated growth in 2025 and has proven to support our growth in almost any environment. Everywhere we operate, we have the best portfolio of brands, physical assets, leadership and employees who once again set a new annual record for Gold Plus NPS scores. We have a growth pipeline that includes digital in the near to medium term and arguably the greatest global integrated resort opportunity with MGM Osaka opening in 2030. We have a solid balance sheet, low relative leverage and favorable lease structures with reasonable rent escalators. We generate substantial and growing cash flow that provides us with the ability to pursue any opportunities that may drive value creation. We have a massively shrinking share count, and we are reverting to growth in Las Vegas. Operator, if we could open it up for questions now, we'd be happy to take them.
Operator: [Operator Instructions] Our first question today comes from Dan Politzer with JPMorgan.
Daniel Politzer: Bill, I wanted to just pick up -- pick back up on your last comment there on the path to reverting back to growth in Las Vegas. I think you laid out certainly a big -- a number of factors with group and convention pacing up mid-single digits, CON/AGG and obviously, strong OpEx control with some of those technology benefits. So I mean, other than the second half comparisons getting easier, I guess, how do you think about the path forward in terms of the first quarter and second quarter in terms of getting back to normalized EBITDA growth in Las Vegas here?
William Hornbuckle: Look, I'll kick this off and maybe Ayesha can pipe in here as well. This current quarter we're in, as compared to the first year, you know there are some differentiators that I think we will intend and should go through. As it relates to occupancy, it has clearly stabilized. Obviously, we have CON/AGG coming up. We have seen and have demonstrated the ability to continue to drive the high-end luxury pieces of our business, and that will continue, I think, all the way through 2026. We've seen, and particularly in gaming, the high end, and I don't mean premium, super high end. I mean, high-end business led by things like our holiday gift shop, which was the second highest holiday gift shop, I think, we've ever had. And so it's fair to say the K economy is alive and well, but given the positioning of our assets, the programming, I think as we get through into April, particularly May and beyond, I think you're going to see some really strong performance. Obviously, the MGM piece is a big piece for us. I've never seen a remodel impact of property the way that one did, only because we had so many rooms out at the same time. And so all of those things, I'm thinking, are looking favorable, and generally, I think things will stabilize. I think we've begun to see it. The convention authorities are expecting 1 million more visitors. And so '24 was an amazing year. And so '25 was difficult. Yes, we need to solve for Canada and leisure travel, but generally speaking, we feel very positive, positive enough to think that we're going to exit '26 on an up. Ayesha, I don't know if you want to add.
Ayesha Molino: Yes, just a couple of thoughts. Certainly, I think, as Bill noted, as we look at CON/AGG, we're certainly looking at that favorably for our business. When we think about CON/AGG and we think about that combined with our own convention base, especially as we head into the latter part of Q2 and into Q3, I think we have reason to have a very favorable outlook. I'd also note, in the near term, we have events like the Super Bowl that are continuing to drive a lot of excitement among our meaningful customer base, and so we continue to see that base turn out, as Bill noted, particularly at the high end but with a lot of excitement for our business.
Daniel Politzer: Got it. That's helpful. And then just for my follow-up, in the fourth quarter, obviously, we saw that the table hold was a bit higher and we can kind of triangulate on the math there. But were there any other one-offs in particular in the fourth quarter, either in Las Vegas or any of the other segments you would call out just for modeling purposes?
Jonathan Halkyard: Yes. The hold was a little bit above average for us and a little bit above prior year. We consider that impact in the fourth quarter to be kind of $20-ish million to the bottom line in Las Vegas. The only other really onetime items would be some in corporate expense. And so for modeling purposes, the corporate expense number is around $110 million, $115 million per quarter. We had some unusual expenses in the fourth quarter and some in the first quarter of last year that should not recur this year.
Operator: And our next question comes from John DeCree with CBRE.
John DeCree: Maybe to continue the discussion in Las Vegas, Jonathan, I think in your prepared remarks, you've mentioned the value customer a little bit. I think I heard you say there isn't really any change there. But as we think about value customer or leisure more broadly, can you elaborate on some of the things that you might be able to do, the city is doing as a whole to kind of help get that customer kind of stabilized throughout 2026?
Jonathan Halkyard: Yes. And I certainly didn't mean to minimize the contribution of our Luxor and Excalibur properties. We love those properties, but I do think they are the ones that cater most to that value-conscious customer, and they do represent about 6% of the EBITDA for our properties here in Las Vegas. That being said, we're -- we've done a number of initiatives already, both on the revenue driving and the cost side to address those customers, and we have more planned this year. I may invite Ayesha if she wanted to add anything else.
Ayesha Molino: Yes, sure. Just a couple of things. When we think about the leisure customer, in particular, like a lot of companies in the hospitality industry, I think over the last year or so, we did see that shortening of the booking window. But that being said, we're paying close attention to that customer, and we are starting to see a response, particularly to sort of large-scale events, that feels positive to us. In terms of some of the broader initiatives, the city late last year ran a city-wide sale that was very well received, and so I think there is constant effort at coming together to make sure that we are driving visitation to the city.
John DeCree: That's helpful. Maybe one more as a follow-up on Vegas. The gaming revenue volumes, the win, even outside of some favorable table holds, I think volumes were quite good and have been all year. Can you talk a little bit about your casino room night mix or what you might attribute some of the resilient or better gaming volumes to in spite of lower occupancy on the Strip? Obviously, you've mentioned the high end is doing well. But anything you can add to give us some color on why you think the casino business, the table slots is doing so well in spite of lower occupancy?
William Hornbuckle: John, this is Bill. I'll kick it off, and Ayesha can finish it in terms of the mix. Look, I think we mentioned it throughout our comments, and we've done this and seen it work. If I think about Bellagio, we've reinvested in the high-end slot room by way of example. We've reinvested actually in almost all of our high-end slot rooms across the company. I was just at National Harbor over the weekend and saw that one. It's paid dividends. That market, which, obviously, those are high-end customers but not to the extreme you get into some of our table games customers, it is working. So we've picked, I think, the right things to invest in. I think it's working in Macau of note. I think Kenny and the team there have particularly picked the right things. And then the activity case -- we have this dialogue around value. There are value in high-end activity. When people come to Las Vegas for whatever the event is, we've got a bunch of stuff coming up, as we mentioned, they're not afraid to spend money. And so we need to be value-conscious. We need to understand that mix and how we price certain things to be sure. But when you think about the top end of our business and the experiences people continue to seek and want, we think we're doing a rational and a good job both marketing to them and ultimately provide -- and we've pushed hard on BetMGM, by way of example. I think one of the reasons for the success of holiday gift shop was our ability to provide omnichannel into that program and those people. And so we continue to do that, so that's been an added nice channel and I think the Marriott channel, underlying a lot of this. Those customers, many of them come having -- not have to pay for their room per se, meaning in cash. And so I think the opportunity to enjoy Las Vegas and all that we do, I think, has been paying off. And so I think it's a combination of a lot of things, really.
Ayesha Molino: Yes. The only thing that I'd add is we have a very strong database, and we've been fortunate to see the resiliency of that database over time. And I think even as we think about forward-looking casino bookings, those are remaining strong for us and so -- especially from the medium to the high end. And so again, I think that the strength of that database continues to pay dividends.
Operator: And our next question today comes from Shaun Kelley at Bank of America.
Shaun Kelley: Bill or Jonathan, just kind of wanted to think about some scenario analysis around Las Vegas, specifically. And if I could, margins have been down the last 3 years, I think, as businesses kind of normalized a little bit post-COVID. And just kind of trying to think about what you're seeing on the expense side of the ledger. So I think we now know some of the drivers and what you're looking forward to, to drive '26 on the top line. But help us think about, yes, 2 things. Like one would be just run rate, operating expense growth and any internal initiatives you have to sort of kind of manage that. And then secondarily, remind us on the room renovation cadence, what was the disruption for MGM Grand in this past year, if you could put it in EBITDA dollars. I you know you talked about room nights. More importantly, relative to, I think, ARIA was slated for this year, is that still the case? And any other major projects for this year that could be a little disruptive?
Jonathan Halkyard: Okay. Thanks a lot, Shaun. I'll take those in turn and certainly invite Ayesha to comment as well. In terms of expense growth, we'll be able to hold our overall expense growth to the very, very low single digits this year. Wage -- of course, wages are an important part of our cost structure, and we have been able to largely offset wage growth, unit labor cost growth with the labor complement that we have, even adjusting for modest occupancy declines in 2025. So we had FTEs down slightly in Las Vegas regions and in the corporate office during 2025. In terms of the renovation impact for the MGM Grand last year, it was about $65 million in EBITDA during the year. And that is -- of course, that's already completed, so we'll not only not suffer that this year but hopefully enjoy some benefit from those remodeled rooms. There's not going to be much renovation impact at all in rooms in Las Vegas. We are starting the ARIA project, but that won't be until midway through the fourth quarter. So that will be a more -- more of a 2027 discussion for us in terms of room renovation disruption from ARIA in Las Vegas. Anything you want to add on the cost structure?
Ayesha Molino: Just a couple of thoughts on that. I think the teams have done a really excellent job with FTE management throughout the year, and they're constantly looking for ways to improve upon that through technology or otherwise. And so we've certainly seen the dividends of that -- of those actions over the course of the year. And as Jonathan noted, a couple of major differences between ARIA and MGM Grand. MGM Grand, of course, we did the bathrooms, which are not slated to be done at ARIA, which will cause significantly less disruption in terms of the number of rooms that have to be taken out at any given time. And as Jonathan noted, we very thoughtfully scheduled this so that the vast majority of the disruption will take place over slower periods. And so we're looking to mitigate revenue impact there as well.
Operator: And our next question today comes from Chad Beynon with Macquarie.
Chad Beynon: Wanted to shift to Macau, really strong quarter, particularly compared to what we've seen in terms of market growth and some others experiencing some cost creep. So can you maybe touch on that, what the margin environment is like if you believe that the Macau margins can remain in this area? And then anything that you're seeing in terms of early bookings for Lunar New Year?
William Hornbuckle: Kenny, all yours.
Xiaofeng Feng: Yes. Thank you. Thank you for the question. We do see very rational competition in the current marketplace in the past few quarters. Particularly if you look at our reinvestment rate over the GGR trend, that could be a little bit of volatility due to the mix of business, but in general, it's fairly, fairly stable. MGM China margin has always been in mid- to high 20s as we guided. We always delivered what we said for the past few years. As to Chinese New Year, we are very optimistic. We see very, very encouraging booking trend for Chinese New Year. We have -- we even have a long waiting list for our top tier, the hotel products. The player quality is very high. MGM China here, I mean, we do have a limited room inventory, but we are good in premium mass. We are very focused on quality over quantity. And yield management is always our strength. We are confident about the demand. We will make sure that we yield our products wisely. And we will make sure what we are doing to serve customers what we want. There's a new phenomenon. These days, even ahead of holiday, there's no slow period. So we are -- we feel good about it in general. Thank you.
Operator: And our next question today comes from Brandt Montour with Barclays.
Brandt Montour: So a couple on Vegas for me. You guys gave us a lot of helpful details. Bill, you talked about stabilization and you sound pretty confident about the stabilization you're seeing. I was hoping that we could sort of dig into that because if you look at the fourth quarter from a KPI perspective, right, RevPAR was down a decent amount, but then casino revenue was up a lot. And so when you think about monthly October, November, December to January, what does the stabilization look like from a KPI perspective? And maybe said another way, can you get back to growth with RevPAR, yes, with RevPAR declines like you're seeing or even maybe less so but still material?
William Hornbuckle: Go ahead. Go ahead, Jonathan.
Jonathan Halkyard: Yes. So I would say the general cadence in the fourth quarter was October was -- and I'm talking about kind of ADRs. October was down more than December was. November was pretty stable, and it was driven a lot by special events and F1. And then as we started to look into the first quarter, we saw, again, moderating declines versus prior year in ADR. We are confident about the casino's ability to drive revenue growth through events and through omni-channel marketing and just through more effective casino marketing. And it's interesting to note that RevPOR, so overall revenue per occupied room was actually up slightly for MGM Resorts in the fourth quarter. And so we're constantly doing this shifting between the different pockets of demand and different revenue channels in order to optimize revenue. And as we look into the first quarter, we're just seeing some of this continued stabilization that we saw developing in the [ forward ].
Brandt Montour: Jonathan, that's really helpful. And also in Vegas, you made a comment, Jonathan, about hold -- table hold settling in and the level that you guys are achieving, yes, it's been pretty consistent on an annual basis for the last couple of years in the '24 and change area. That is above pre-COVID average. So the question is what structurally has changed for the hold. And is this the new CO that we should be forecasting?
William Hornbuckle: I wouldn't agree to the last comment, but I would say more relative. Look, we see a lot of high-end activity, so the premium, premium customers [ that we were able to accommodate ], you can see it in our baccarat share. If you think about our baccarat share, we're well into the high 40s, I think, this last couple of months. So that, more than anything, is driving it, but we continue and consistently do that. And while that business can -- is volatile at times, I think our market share of that is what's been continuing to lift that number more than almost anything else.
Operator: And our next question today comes from Steve Pizzella with Deutsche Bank.
Steven Pizzella: Just pivoting to the regional segment. Any color you can give us on how the year started off for the regional portfolio and if you have any thoughts on a range of outcomes for the regional business this year?
Ayesha Molino: Our regional business has continued to be really steady over time, and certainly, we're seeing that steadiness continue into the first quarter. And as Bill noted earlier, there have been some real meaningful pockets of excitement for our regional properties. I'd point here to Borgata and the investment in the high-limit table rooms there, which has paid really nice dividends for us, and we're continuing to invest, as Bill noted, in that product at various of our regionals. So we're proud of how steady that -- those assets have remained and continue to see that steadiness.
William Hornbuckle: And I would remind us, I don't think that baccarat product and those high-limit rooms came on until May. When did they come on? It was later in the year is my point. So we'll have the benefit of the first couple of quarters there. And then you probably all saw and we're excited by -- we'll see if this comes to fruition or not, but we believe it will based on conversations I've had. But the notion of a Sphere coming to Maryland is very compelling and very exciting, I think, for the project, the region and ultimately, National Harbor. If it's executed as thought about, it could deliver a couple of million more customers a year there. And so we remain very excited by some of our regional properties. They're well placed, and they're great assets, and that, we think, will continue to grow over time.
Steven Pizzella: Okay. And just real quick for my follow-up. You mentioned the World Cup in your prepared remarks. Are you expecting incremental visitation to Las Vegas as a result from people visiting. And have you seen any kind of advanced bookings indicated increased demand from that?
William Hornbuckle: We are expecting, yes. It's a unique opportunity to particularly bring high-end customers who will be in the region to Las Vegas, potentially in and out of L.A. or on their way to New York or any place else for that matter. And so we're highly focused on that. I think it's a little early on the overall mix to tell. But I think when it relates to particularly the high end of the market, we're pretty excited by what may come out of South America and some other markets as we would all understand them.
Operator: And our next question today comes from Barry Jonas with Truist.
Barry Jonas: One narrative on the Vegas softness has been that perhaps there's trade down where some folks aren't going to Vegas but perhaps gaming closer to home. Curious if you've seen that dynamic as you look at your database.
William Hornbuckle: No. This becomes the constant is digital gaming offsetting brick-and-mortar gaming. I think the closest analogy we have is Michigan, where we have a robust sports and iGaming business, yet our property continues to gain share. And so no, we think, ultimately, it's additive. When you think about the opportunity for database for omnichannel, people come here. They get to go home loaded up, if you will, with BetMGM app and continue the experience. And so no, it's nothing that has shown itself as a significant issue. To the contrary, we see it still as a benefit.
Barry Jonas: Great. And then just for a follow-up. Bill, what's the latest on the 90% gaming loss tax deductibility? I guess what are next steps there? And how impactful could this be to your business if it unfortunately would stand?
William Hornbuckle: I'm going to let the expert handle this. Ayesha?
Ayesha Molino: We're continuing to see significant strength in our slot handle into the first quarter, even as that has taken effect. So we are watching it closely, but we are partnering closely also with our industry, our fellow colleagues in the industry to advocate for a fix on that.
Operator: And our final question today comes from Stephen Grambling at Morgan Stanley.
Stephen Grambling: Apologies if I missed this, but it looks like you ramped up the buyback in the quarter and talked through some of the sources of liquidity from here. So how should investors think about the right level of potentially parent-level buyback versus MGM China maybe buying back there where I think you mentioned you saw value? And as a related follow-up on that, if MGM China is part of the direction you want to go, are there any limitations in terms of how high you can take that share?
Jonathan Halkyard: Okay. I'm a little unclear on the final part of the question. But as it relates to buybacks at MGM Resorts, it really is a -- it's a constant evaluation we do around the value that we see in our shares versus the other uses of cash that we have that we think are high priorities. In the last 6 months, of course, we made the decision not to proceed with the New York license. That was $500 million at least that had already -- had been previously earmarked for that. We see great value in the shares, and so we began share repurchases again in the fourth quarter. I think share repurchases are always going to be in our capital allocation mix because, fortunately, we can -- with our level of free cash flow now that the distributions we're getting from MGM China and BetMGM, we can afford to invest in our properties, invest in MGM in Osaka and as well as repurchase shares. I didn't go through the multiple math that we all know very well on MGM Resorts right now, but suffice to say, it's a really compelling investment, we believe, and that's why we're doing it. I'm not going to speak for the...
William Hornbuckle: Stephen, on the China question as I think I understand it, there's about 22% float in the company. We have to keep that. And so the idea that we would buy back from the open market is -- we've got to keep that float, and frankly, the exchange is pushing to have more. So that's not what was implied there. The simple implication was the multiple value seems cheap.
Stephen Grambling: No, that's exactly what I was saying. That's helpful. So it sounds like, again, the parent, you get that cheapness through buying back at that level rather than directly anyway.
William Hornbuckle: Correct.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Bill Hornbuckle for any closing remarks.
William Hornbuckle: Thank you, operator. Just a couple of quick comments before you all go, and we appreciate your time given the time of day. Look, diversification is clearly working. Our consolidated EBITDA growth was up 20% in the fourth quarter, and I think we have proved it. You've heard us stress signs of stabilization in Vegas, and obviously, we believe that. We've seen it in various segments, whether it's group, the MGM discussion. We see stimulus coming in helpful, both in leisure and particularly in our regionals. We see Macau continuing to perform at the performance level it is. We've all been challenged with, yes, but how do you do this in the market conditions. We've been doing this for a couple of years now, and so hopefully, we've built some faith and credibility in that. And then BetMGM had a remarkable year, and it sets itself up for when we think and say, in 2027, we think we can be at $500 million, we believe that. And we didn't say that until recently, and we are now saying it with belief. And so we think we're in great shape as we think about '26 and the things in the immediate future. And with that, operator, I will end the call, and I thank everybody for their time.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful evening.